Operator: Good day, and welcome to the Michael Kors Third Quarter Fiscal 2018 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Christina Coronios, Director of Investor Relations. Please go ahead, ma'am.
Christina Coronios - Michael Kors Holdings Ltd.: Good morning, and thank you for joining us for our third quarter fiscal 2018 earnings call. Presenting on today's call are John Idol, Chairman and Chief Executive Officer; and Tom Edwards, Chief Financial and Operating Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those that we expect. Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that the statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. In addition, certain financial information discussed today will be presented on a non-GAAP basis. These non-GAAP measures exclude certain items related to the company's acquisition of Jimmy Choo, restructuring and non-cash impairment charges primarily associated with underperforming retail stores, and the acquisition of the Greater China licensee. You may identify these non-GAAP measures by the terms adjusted and non-GAAP. To view the corresponding GAAP measures and related reconciliations please view the earnings release posted to our website earlier today at investors.michaelkors.com. I will now turn the call over to Michael Kors Chairman and Chief Executive Officer, Mr. John Idol.
John D. Idol - Michael Kors Holdings Ltd.: Thank you, Christina. Good morning, everyone. This morning we reported third quarter results that were better than anticipated driven by higher revenue and gross margin as well as lower expenses. Our solid financial performance reflects the continued progress we are making on our Runway 2020 strategic plan. Additionally, during the quarter, Jimmy Choo was successfully integrated into our luxury group, Michael Kors Holdings Limited. And we were pleased with the brand's performance as it continued to deliver glamorous luxury product and engaging brand communications. We also began to increase our investments in Jimmy Choo to support our strategic plan, laying the foundation for accelerated growth in this business. We believe that the formation of our luxury group will enable us to drive long-term sales and earnings growth while also creating a platform for future acquisitions. Now, let me turn to the details of the Michael Kors brand and update you on the progress we are making on our Runway 2020 plan, which focuses on product innovation, brand engagement and customer experience. Beginning with product, we continue to increase the level of fashion innovation and layering across our assortments. In the accessories category, approximately 50% of our holiday assortment consisted of new products, and we were pleased with the strong response across many of these styles. In our Michael Kors collection line, Bancroft was one of the must-have groups of the season as customers appreciated its timeless glamour, refined silhouette and unique novelty treatments and colors. Bancroft was spotted on celebrities including Nicole Kidman, Angelina Jolie, Kate Hudson, Blake Lively and Amal Clooney. In our MICHAEL Michael Kors line, the Mercer collection continued to be a favorite among consumers, and luxury snakeskin styles were some of our best sellers for the holiday season. We also saw strong response to the introduction of Mercer Gallery, an elegant pebbled leather tote with clean soft lines and our signature lock detailing. Finally, the new introduction of the Voyager tote has quickly become one of the top selling groups. Based on the favorable consumer response to our new accessories offerings, we believe we are making strides and further enhancing our assortments with fashion innovation. Turning to footwear, comparable sales increased in the high single-digits as consumers embraced our feminine and embellished offerings to infuse glamour and chicness into their holiday assortments. We introduced Paloma with a metallic block heel inspired by our iconic Mercer lock in both a bootie and a platform sandal. Paloma was featured in our holiday ad campaign and was one of our top selling styles for the season. Booties remained in high demand as we saw particular strength in transitional open-toe styles, including Blaze and Sabrina. We also continued to capitalize on the fashion active trend incorporating newness into our best-selling Allie and Billie active styles. For holiday, we updated these styles with metallics, perforated leather and glitter. Core offerings included our Dorothy and Natalie pumps and Berkley and Simone sandals, were also updated with feminine detailing and festive embellishments and continued to resonate with consumers globally during the holiday season. In ready-to-wear, we continue to leverage Michael's runway heritage and fashion authority to drive solid holiday seasonal results which led to double-digit comparable sales growth in this category. Dresses remain our strong performers as dramatic details and novelty fabrics, including lace, metallics and sequins, as well as unique elements, such as embellished hardware, helped consumers create the perfect holiday look. Importantly, our customer research shows that our emphasis on women's ready-to-wear is attracting a new consumer to our stores that had not previously shopped the brand. Turning to our men's sportswear business, we were very pleased with the strong results during the quarter. Outerwear was a top-performing category, particularly down items, such as the Polar Parka in Italian fabrics. Customers also responded favorably to styles that reflected newness in techniques, including garment wash leathers in bomber silhouettes. In sweaters, softer yarns and lighter weight stitches were a popular item during the season, which led to better than expected performance from this category. In men's accessories, the iconic Bryant and Harrison collections continued to resonate with consumers. Backpacks remained the number one selling bag silhouette. And the Bryant soft pebbled leather backpack with its sophisticated work-to-weekend attitude continued to be a top seller. In small leather goods, our Harrison Cross-Grain wallets remained among our most popular items. In the Watch category, we saw increased momentum in our Michael Kors Access smartwatches for the holiday season. Our top-selling smartwatch was the newly introduced Sofie, an elegant and feminine style combining modern glamour with next generation technology. Smartwatch sales were further bolstered by 360-degree holiday marketing campaigns. Developed in collaboration with our partner Google, the campaign helped to ensure our smartwatches were top of mind for the holiday season. Featuring our first ever television ad for watches, the campaign ran in the U.S., UK and Germany, and was supported by print, outdoor and digital advertising. This helped drive strong holiday sales of smartwatches and created a great deal of excitement for the brand. While smartwatches are still a smaller portion of our business and not yet large enough to offset the decline in fashion watches, we are encouraged by the growing trajectory of this category this year. Looking ahead to spring 2018, we will build on our success and further expand our product innovation in our assortments. In accessories, we expect to increase the level of new offerings for spring to approximately 65%. The Bancroft group will include additional novelty prints, mixed materials and seasonal color blocks. We also plan to launch Blakely, a new MICHAEL Michael Kors accessories group, crafted from luxury Italian leather and featuring intricate woven handles and side zippers. Blakely will be featured in our spring ad campaign, which will showcase the new collection through a 360-degree marketing effort. In addition, we will expand our tote offerings with two new groups: Whitney and Maddie. Our spring footwear assortment will reflect newness through design elements, including floral appliques, ruffles and pearls. We will also capitalize on the popularity of the wedge silhouette by offering an expanded assortment of heel heights, fabrications and fashion elements. In ready-to-wear, we will continue to grow our position in the dress category with a broad offering that includes day-to-night, party and occasion dresses, with novelty textures and features. For our Michael Kors Access smartwatch collection, we plan to introduce new fashion styles for Sofie, such as white silicone and ice blue metal, as well as straps and seasonal colors. We also continue to develop new and exciting ways for customers to further personalize their Access smartwatch. In January, we launched My Next, a feature that enables users to count down to special occasions or events, such as anniversaries, birthdays, concerts, or vacations with an intuitive interface with corresponding icons, such as birthday cakes, wedding rings and guitars. Turning to brand engagement, we remain focused on deepening our relationship with consumers by leveraging our database to deliver more personalized content across our digital channels. We now have 25 million customers in our database globally, which represents an increase of 23% over last year, demonstrating the continued strength and desirability of the Michael Kors brand. Additionally, we have recently launched our loyalty program in the U.S., KORSVIP, which is an important next step in our personalized journey. Members can access special events and stylish content as well as accrue points by submitting product reviews, creating wish lists and buying products. I look forward to sharing more on our loyalty program in the coming quarters. We also continue to engage consumers through social media across all platforms. In the third quarter, we grew our social media audience by 18% to more than 40 million followers, including 11 million Instagram followers, making Michael one of the most followed fashion designers on Instagram. Our excellence in engaging with consumers was recently recognized by the leading digital intelligent and benchmarking firm, L2, which ranked us as the number one fashion brand in social media on its Digital IQ Index. Creating an engaging customer experience remains a key priority. We are focusing on making enhancements to our digital flagships as well as our retail store fleets. For example, through KORS STYLE, we leverage our fashion authority to provide an engaging online shopping experience. For the holiday season, we featured enhanced shop-the-look capabilities, providing glamorous head-to-toe party looks for Michael and allowing consumers to shop an entire outfit with one click. In addition, we offered a digital gift guide including luxe offerings for both men and women to help customers find the perfect holiday gift. We also continue to see great response to our online dress shop with strong performance in the holiday offerings. Turning to our stores, we are deploying technology that enables us to deliver a seamless omni-channel experience and elevated styling services in our stores. For example, we are currently rolling out Kors Connect, which provides sales associates with the ability to augment the in-store selection with products available online and in other Michael Kors stores. In addition, Kors Connect will offer enhanced clienteling services allowing associates to build user profiles, personalize looks to create a tailored styling experience for customers every time they shop with us. Additionally, we remain on track to renovate approximately 100 locations over the next two years. Importantly, our stores enable us to showcase our innovative designs and serve as a destination for consumers to engage with the Michael Kors brand and experience our exceptional customer service. I look forward to sharing more details about our fleet renovation plan in coming quarters. Turning now to our financial highlights for the Michael Kors brand during the quarter; in the Americas, Retail revenue decreased 4.5% and comparable sales declined in the mid-single digits. This better than expected performance was largely driven by favorable response to our holiday assortments. As part of our strategy to limit our promotional activity, we reduced the days on promotion by 66% during the quarter which negatively impacted sales volume. However, the positive consumer response to product, combined with the reduced promotional activity, drove higher AURs in our digital flagship and lifestyle stores. Wholesale revenue in the Americas decreased 9.3%. We had approximately 67 fewer promotional days which negatively impacted sales volume. Similar to our Retail segment, we saw strong response to product which drove reorders in the channel during the quarter. Additionally, strong response to product, combined with the reduction in promotional days, led to higher AURs across the majority of our product categories. Turning to Europe, Retail revenue increased 11.3% with a comparable sales increase in the mid single-digits. On a constant currency basis, Retail revenue increased 2.2% and comparable sales decreased in the mid single-digits. In the Wholesale channel, we continued to strategically reduce shipments as we focus on elevating our brand positioning which resulted in revenue decrease of 9.3% on a reported basis and 17.1% on a constant currency basis. Turning to Asia, Retail revenue increased 18.4%, or 16.9% on a constant currency basis. We continued to grow our presence in this region opening 31 net new stores since the third quarter of last year. Retail comparable sales increased in the low single-digits on both a reported and constant currency basis driven by strong performance in Mainland China and Japan, partially offset by weaker performance in South Korea, Hong Kong and Macau. In addition, we continued to invest in our marketing and brand engagement in this region. For example, during the quarter, Michael traveled to Shanghai to celebrate the fall edition of The Walk, featuring brand ambassador Yang Mi. The event generated more than 1.6 billion social media impressions and we live streamed it to over 9.5 million viewers. Our continued investment in building our brand is paying dividends as we saw brand awareness in Tier 1 Chinese cities grow 6 points year-over-year to 68%. Going forward, we will continue to invest in additional marketing initiatives to further elevate our position in this fast-growing region. Finally, revenue in our Licensing business increased 12.3%. We saw strong performance in our Access smartwatches in the quarter and are pleased with the momentum of this business. That said, this category is not large enough to offset the decline in fashion watches. In fragrance, our holiday strategy was a success as glamorous gift sets generated strong consumer demand. As we look ahead to spring, we will launch two limited edition fragrances, Exotic Blossom and Michael Kors Sheer, which will serve as extensions for our successful fragrance pillars Sexy Amber and Michael Kors Signature. We were also pleased with our eyewear sales during the quarter as we continued to solidify our position as a fashion leader in this category. During the quarter, we launched the La Jolla Aviator with new modern construction and block mirror lenses which was featured as a key holiday style. Now turning to the Jimmy Choo brand, we are extremely pleased to have successfully completed the integration of this company into our global luxury group. For holiday, disco was the theme and we emphasized glitter across categories in our women's business. Top performers in fashion footwear included our MAINE Bootie with a crystal-embellished heel, our Gabby pointy-toed flat with a knotted bow, and our Brandon stretch fabric ankle boot. The strong reception to these styles reflects Jimmy Choo's leadership in fashion product innovation. We also continued to see great response to our CHOO 24/7 collection with top performers including the Romy pointy-toe pump, Miami Trainer, and YOUTH biker boot. In men's trainers, (20:36) led performance, reflecting the continued power of the fashion activewear trend. During the quarter, we launched a glamorous marketing campaign, Shimmer in the Dark, which featured Cara Delevingne. The campaign highlighted our holiday 2018 collection, including the MAINE rainbow crystal boots, the LANCER Champagne Glitter Leather Pointy Toe Pumps and the Lockett Mini bejeweled bag. The success of this campaign is illustrated by the 159 million impressions generated on social media where we now have more than 13 million followers, a 30% increase over last year. We are very excited about the long-term growth prospects for Jimmy Choo as we expand the brand's footprint globally and invest to further develop our women's accessories category and build the momentum in our men's business. We look forward to sharing more details about our expectations for Jimmy Choo when we provide annual guidance on our next call. In conclusion, we were pleased with our performance in the third quarter as we delivered better-than-expected financial results, made continued progress on our Runway 2020 strategy for Michael Kors, and successfully integrated Jimmy Choo into our luxury group. We also began to take steps to drive accelerated growth at Jimmy Choo as we support the strategic initiatives that are underway. Overall, we believe that we are well positioned to drive long-term sustainable growth across both brands. With that, I'll turn the call over to Tom.
Thomas J. Edwards, Jr. - Michael Kors Holdings Ltd.: Thank you, John. Good morning, everyone. Today I will provide details on our third quarter performance which includes two months of Jimmy Choo results followed by our outlook for the fourth quarter and full year. Our third quarter performance was above expectations with adjusted net income of $273.4 million. Adjusted diluted earnings per share were $1.77, an increase of 7.9% compared to the prior year. These better-than-anticipated results were driven by higher revenue, expanded gross margin, and lower costs. Total revenue of $1.4 billion increased 6.5% compared to last year and increased 4.6% on a constant currency basis. The increase reflects $114.7 million of incremental revenue from Jimmy Choo and a 2% decline in Michael Kors revenue compared to last year. Michael Kors Retail revenue increased 1.1%, driven by 32 net new store openings, partially offset by a comparable sales decline of 3.2%. Comparable sales were better than anticipated due to stronger performance in the Americas and Europe during the holiday season. Global e-commerce benefited comparable sales by 170 basis points. As a reminder, our comparable sales base now includes digital flagships in six major European markets. On a constant currency basis, Retail revenue decreased 1% and comparable sales declined 5.2%. For the Michael Kors Wholesale business, revenue decreased 8.9% compared to the prior year as we strategically reduced promotional activity and inventory in the channel. These results primarily reflect better-than-anticipated performance in our accessories business as a result of favorable consumer response to our new fashion product offerings. On a constant currency basis, Wholesale revenue declined 10.5%. Michael Kors Licensing revenue increased 12.3%. The year-over-year increase was driven by growth in smartwatches as well as continued growth from eyewear. Turning to Jimmy Choo, revenue was $114.7 million for the two-month period, which was ahead of our expectations. We were encouraged by consumer response to our innovative footwear offerings. Regional performance in Asia and the Americas showed particular success. During the two months we owned Jimmy Choo, we opened one new store. We also recently converted 17 locations previously managed by partners to company-operated stores, including a new joint venture agreement with Al Tayer in the Middle East. Beginning next quarter, we look forward to sharing more highlights on the Jimmy Choo business. Consolidated gross margin was 61.5%, an increase of 190 basis points versus prior year, primarily attributable to improved Retail gross margin and a higher retail mix as well as a 30 basis point benefit from the inclusion of the higher gross margin Jimmy Choo business. Michael Kors Retail gross margin increased 310 basis points, largely due to reduced promotional activity. Michael Kors Wholesale gross margin decreased to 170 basis points compared to the prior year reflecting strategic pricing initiatives designed to create greater sell-through on core product and higher allowances related to margin assistance to our Wholesale channel partners. Total adjusted operating expense increased $76.6 million, including $58.5 million from Jimmy Choo. As a percentage of revenue, adjusted operating expense increased 330 basis points to 37.5%, largely driven by deleverage on lower sales in the Michael Kors Wholesale segment and a 120 basis-point impact from the inclusion of Jimmy Choo. Total adjusted operating margin was 24% compared to 25.3% last year. Adjusted Retail operating margin for the Michael Kors brand was 22.9%, 160 basis-point increase versus prior year. The increase was driven by higher gross margin partially offset by increased operating expense as a percent of revenue. We were pleased with the continued expansion in Retail operating margin and expect to see this positive trend continue in the fourth quarter. Adjusted Wholesale operating margin for the Michael Kors brand was 25%, a 470 basis-point decrease compared to last year. The decrease was due to lower gross margin and deleverage on lower sales. The Wholesale operating margin decline was consistent with our strategic efforts to reduce inventory and reposition this channel for long-term growth, and we expect continued declines in Wholesale operating margin in the fourth quarter. Jimmy Choo was dilutive to the total adjusted operating margin by 90 basis points. Our tax rate for the quarter was 21.2%, including a modest negative impact related to the revaluation of our deferred tax assets as a result of the new U.S. tax law. Turning to the balance sheet. We ended the quarter with $317.1 million in cash and cash equivalents and $992.5 million of debt, repaying $450 million of our term loan during the quarter. Capital expenditures for the quarter were approximately $26 million and were related to new store development, renovations, and information technology and e-commerce enhancements. Inventory was $677.2 million, including $117.1 million associated with the acquisition of Jimmy Choo, compared to inventory of $586.2 million in the same quarter last year. Inventory for the Michael Kors brand of $560.1 million was down 4.5% compared to the prior year. Now I would like to turn to guidance. We are raising our full-year adjusted EPS guidance to fully reflect the better-than-expected third quarter performance for both the Michael Kors and Jimmy Choo brands. We now expect the Jimmy Choo acquisition to be neutral to adjusted EPS for fiscal 2018, reflecting the brand's better third quarter results, partially offset by increased investments we plan to make in the fourth quarter. Our expectations for fourth quarter are unchanged from our prior outlook. This guidance reflects a slightly higher outlook for the Michael Kors brand and a modestly lower adjusted operating income expectation for the Jimmy Choo brand as a result of additional investments with no change to our revenue expectations. We expect the following for the fourth quarter, all on an adjusted basis: total revenue to be between $1.11 billion and $1.13 billion, including between $110 million and $115 million of incremental revenue from Jimmy Choo; a comparable sales decrease for the Michael Kors brand in the low-single digits; gross margin of approximately 59%; operating expense of approximately 49% of total revenue; an operating margin of approximately 10%; a tax rate of approximately 21%; weighted average shares outstanding of 155 million; and diluted earnings per share in a range of $0.50 to $0.55, including anticipated dilution from Jimmy Choo of approximately $0.07. For the full year, we expect the following, all on an adjusted basis: total revenue of approximately $4.66 billion, including between $225 million and $230 million of incremental revenue from Jimmy Choo; comparable sales for the Michael Kors brand to decline in the mid-single digits; gross margin of approximately 60%; operating expense of roughly 42% of total revenue; an operating margin of approximately 18%; a tax rate of approximately 18%; weighted average shares outstanding of 155 million; and diluted earnings per share in a range of $4.40 to $4.45. We anticipate capital expenditures for Michael Kors Holdings Limited of approximately $175 million, including Jimmy Choo. These will be focused on select new store openings, renovations to our retail store fleet, and investments in information systems. For the full fiscal year 2018, we expect to close between 45 and 50 stores with a total related charge of $50 million to $60 million. We expect transaction, transition, and other costs related to the Jimmy Choo integration to be between $50 million and $60 million. In addition, I want to address the recent U.S. tax reform legislation. We expect a minimal impact for fiscal 2018 with a modest negative adjustment related to the revaluation of our deferred tax assets in the third quarter, partially offset by the lower U.S. tax rate for a portion of the year. Looking to fiscal 2019, we anticipate the new legislation will provide a 300 basis-point to 400 basis-point benefit to our annual tax rate. We are currently evaluating opportunities to reinvest in our business to fund future growth. Therefore, we do not expect the tax savings to be a benefit to EPS next year. We will provide more specifics for you when we introduce fiscal 2019 annual guidance on our next earnings call. In conclusion, we were pleased with our third quarter performance and remain focused on executing our strategic plans to deliver long-term growth for Michael Kors and Jimmy Choo. Now I will turn the call back over to John for closing remarks.
John D. Idol - Michael Kors Holdings Ltd.: Thank you, Tom. As I noted previously, we are excited about the opportunities we have at Michael Kors Holdings Limited. For the Michael Kors brand, we will continue to execute on Runway 2020, elevating our product offering, brand communications, and customer experience. Although we are still in the early stages of implementing these initiatives around Runway 2020, we are pleased with the early results to date. Our accessories business is expected to stabilize and resume growth in the future years. And we are encouraged by the opportunities that we have to grow our footwear, women's ready-to-wear, and men's categories. Additionally, we have significant growth potential in Asia, as the brand is resonating across the region. For Jimmy Choo, we're investing to grow the brand's global footprint, expand the women's accessories category, and build on our momentum in the men's business. We remain confident that these initiatives will enable us to increase revenues for the brand to $1 billion over time. Lastly, we continue to look for potential luxury brand acquisitions to complement our existing portfolio. Collectively, these initiatives are positioning our company for long-term growth. With that, I will open the call to questions.
Operator: Thank you. Please limit yourself to one question, and if necessary, one follow-up question. We'll pause for just a moment to allow everyone an opportunity to signal for questions. It appears our first question comes from Omar Saad with Evercore ISI.
Omar Saad - Evercore Group LLC: Thanks for taking my question. Congrats on all the progress. It's great to see. John, you mentioned in your opening remarks some interesting comments around ready-to-wear, seeing some new consumer activity, a new type of consumer. Could you elaborate on what you're seeing there? And if that's specific to the North American market, or is that a new consumer globally that the ready-to-wear is bringing to the brand? Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Thank you and good morning, Omar. We're really excited about some data that we're seeing. We've put a tremendous amount of emphasis on our women's ready-to-wear business, which as you know, Michael is by far one of the leaders in the world and clearly probably the most important American luxury designer. And with that heritage, we really have been utilizing Michael's talent and the design team's talents to begin to lead with our fashion point of view through ready-to-wear. And what's happened is our data has shown that we are bringing in a new customer, both domestically and internationally, into the brand, really led by the innovation that you're seeing in that product. And interestingly enough, our design teams are working very collaboratively. Many of those innovations that we're seeing in ready-to-wear, we're actually applying to our accessories and footwear. So when you hear us talking the last few calls about what we call Kors Style. And again, we think Michael, along with obviously our incredible 18,000 employees around the world, is kind of our secret weapon. Michael and his vision and how he is leading fashion is really what we're going to continue to make the hallmark of the Michael Kors company and brand. And we think there's a lot of excitement around that category. We're also seeing some similar trends around the footwear. It's early days, and as we start to remerchandise some of our stores, we're taking a little bit of the emphasis off the accessories and enlarging our ready-to-wear spaces and our footwear spaces. And we're going to talk more about that in our next call, but you'll be seeing that in some of the stores that have recently been renovated: Roosevelt Field, Beverly Center, and our Short Hills store. So it's still early days. We don't want to say that this is a complete victory on these different initiatives, but clearly something positive is happening given the way that we're focusing on Kors Style, leading with his fashion runway sensibility, dresses and footwear becoming more important components inside of our stores, and the customers responding to that.
Omar Saad - Evercore Group LLC: Thanks, John. And as a follow up, you mentioned data and tracking customers and drawing in new customers. I think you guys recently launched your loyalty program. I think it's called KORSVIP. Can you talk a little bit about that and how you use that to kind of close the loop on the customer side as well? Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Sure. Omar, the greatest level of traffic growth for the company is clearly online, and so we see our ability to grow our database substantially over the next few years as being a core to our growth. We saw excellent results on our online business globally during the quarter. And one of the ways that we want to continue to build that database, retain that database, engage that customer is through our loyalty program. And the program – the numbers were incredible when we turned it on in the first few days of the company far exceeding our expectations of how many people signed up for it. And there are rewards that are associated with certain levels of earning points. But it's a way for us to treat those customers who are either most loyal to us or who really want to get deeper engaging with the brand in a very special way. And personalization and treating our customers with the highest level of importance are two emphasis that we think are really important as we go forward in the company. So KORSVIP, Kors Style, these different initiatives we're putting forth really come back to personalization and we think will build long-term engagement with existing customers, lapsed customers, and new customers. Thank you, Omar.
Omar Saad - Evercore Group LLC: Thank you.
Operator: Our next question comes from Simeon Siegel with Nomura/Instinet.
Simeon Avram Siegel - Nomura/Instinet: Thanks. Good morning, guys, and congrats on the ongoing progress. John, so to that point about the strength across categories, I mean, you have another quarter of reception, really nice adjusted retail margins, and you've really been pretty spot on the margin help thus far. So any thoughts on or any updates to your view on the longer-term margins there? And then just, Tom, I think last quarter there were some expenses shifted into this quarter, if I recall. Could you quantify that and just help us how you're thinking about OpEx over the next 6 to 18 months? Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Thanks, Simeon, and good morning. We were pleased, obviously, with the expansion of the gross margin in particular in our retail division, which was a result of the following: Number one, better full-price sell-throughs. Number two, the reduction in promotional activity which, to be very honest with you, what was so important in this quarter was that we introduced new product, the customer could not find much of that on promotional activity, and they bought it at full-price. So that means they responded to the design. Many of those items were at higher price points. They responded to that. We grew our global database 23% during the quarter. I mean, all those metrics were pointing towards the customer is continuing to engage and respond with the brand. When you have the right product and the exciting marketing that wraps around that, I think we did a very, very good job with that inside of our stores and online. And that really reflected in our gross margin. I think that we will probably see some modest improvement from what you'd see from here, but that's not really what we're as focused on. We're really focused on that full-price sell-through, getting the AUR up, and then quite frankly next year returning to positive comp store sales. So that's kind of how we look at it across the spectrum.
Thomas J. Edwards, Jr. - Michael Kors Holdings Ltd.: And, Simeon, just to give a little color on the expenses in Q3, we were pleased with the lower expense performance, and we saw favorability across a wide variety of expense categories. There was no one major driver. I think, a key point is that we have not carried any of these forward, as we discussed on the scripted remarks. All of the savings in Q3 and the Q3 over-delivery has flowed through to the full year, and looking at Q4, our SG&A forecast there as a percent of revenue is more in line with year-to-date trends. And I would just note as well from our initial guidance for the year of operating margin at 16%, we're currently guiding at 18%. So we have seen improvement in that as we have moved through the year.
Simeon Avram Siegel - Nomura/Instinet: Great. Thanks a lot, guys. Best of luck for the year.
Operator: Our next question comes from Randy Konik with Jefferies.
Randal J. Konik - Jefferies LLC: Yeah. Great. Thanks a lot. John, I just wanted to expand upon some of your gross margin commentary and how you spoke about it with the better product, better sell-through, improving AUR, and the gross margin line through the retail channel distribution. Can you give us some kind of thoughts on the path of progress that we should expect around the gross margin line on the wholesale channel distribution, as you talked about improved AUR but a little bit of gross margin decline to improve sell-through, et cetera? So just kind of give us some perspective on that dynamic on when we can expect the gross margin trajectory in wholesale to kind of start to line up with the gross margin trajectory that you're nicely seeing in the retail channel distribution? Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Sure. Thanks, Randy, and good morning. Randy, I would address two things on the wholesale side. We said it in the last call, and we'll reiterate it again. We anticipate wholesale to stabilize in the back half of next year. We are seeing some very, very nice trends in wholesale sales given the amount of inventory reduction we've put into that channel or have reduced into that channel, and as I mentioned to you on the last call, we have weeks in our very best accounts where we are comping up on last year in most of our product categories. And that's with a lot less inventory and a lot less sale. And I think, you – our partners would tell you, we're all pleasantly surprised at what's happening in terms of performance with the Michael Kors brand in the wholesale channel. We expect one further kind of reduction, as I said to you on the last call, in the spring season. We're going to just continue to get that full-price sell-through up, work really hard on that, and then we expect to resume modest growth in the back half of next year for wholesale in North America. Europe will be probably longer than that as we continue to – we started the adjustment there a little bit later than we did in North America, and we're doing some things there that we think are really important for the brand long term. Randy, the other thing is we're – we've taken a point of view on select items especially in the wholesale channel where we want to be priced appropriately so that we don't have to take markdowns and get the product to where we think we'll get the best sell-through. So that impacted margin in that channel. And secondly, we did give greater assistance to our partners to get through a lot of what we were doing transitioning our strategy. So I would expect it to level out again in the back half of next year and then again maybe see some modest increase. But again, our focus is on sell-through, on AUR, and really on full-price sell-through. And we're achieving that, and that's again being led by product and product design.
Randal J. Konik - Jefferies LLC: That's really helpful. And then on the – just lastly on the dynamic of AUR, if we think about the last few years where you've given us great color on what's impacted AUR from promotionality in the landscape, if you will, as well as small bag sizes impacting AUR negatively, can you guys give us maybe an update on those kind of two pieces and how you think about where we are in those dynamics kind of playing out going forward to impact AUR as you are starting to see some AUR improvement already and just get a sense of where we are in the small bag cycle as well as the promotional environment? Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Sure. Randy, I'd address that two ways. The promotional cycle, while we've got one more quarter to go which is Q4 where we're going to be still lapsing less where we have our four times a year annual Michael Kors sale, that is kind of going to be apples-to-apples. But we were cleaning up a lot of inventory in the U.S. and Europe, and so we've got to get through that in Q4 and hence why we've guided for the low single digit comp store decline in the quarter. The – I think, the promotionality piece will be behind us starting Q1 for us next year. That should be pretty much not the issue for us. And we have been getting the AUR increase by reducing the promotionality, and that's running anywhere between 5% and 10% just to give you a kind of a range on what we're seeing depending on the product category, et cetera. The other thing that we are doing which is starting to happen for fall season is we are absolutely raising – we are putting product into the channels that is more expensive. So we are raising the average unit on floor retail, not by raising prices on existing styles but by elevating product that is going into the channels, our own stores and into the wholesale channel. Early results on that have been quite strong on limited items that we've put in during the holiday season. I'll give you an example. Our best-selling dress was $395. I mean, that's really an extraordinary thing for us. When you look at – we've commented in the prepared remarks, our snakeskin Mercer bags were one of our best-selling items at $495. So we're finding, both in our own stores and in our wholesale partners shop-in-shops, that the customer, if it's the right product, if it has the right level of design and value and look to it, that – I don't want to say price isn't an issue, but we are able to sell things that are at a higher price which will also help our long-term comp situation because we need to sell – there's just less traffic in the stores, and therefore, we need to get higher unit retails through the door. So we think – we feel that that's part of our strategy on a go-forward basis, and that will be something that we'll be implementing in the back half of next year. Thank you, Randy.
Operator: Our next question comes from Dana Telsey with Telsey Advisory Group.
Dana Lauren Telsey - Telsey Advisory Group LLC: Good morning, and congratulations on the nice progress. Can you talk a little bit about the components of the comp, what you saw there in conversion and traffic, and any of the different areas, whether it's full line, whether it's outlet stores? And then on the progress on Choo, what are you seeing there in the cost and benefits, and how do you see that scaling given the adjustment in guidance? Thank you.
John D. Idol - Michael Kors Holdings Ltd.: Yeah, I think both Tom and I will take the comp. Dana, the comp – our conversion rates continue to grow in the stores, which is really, again, a very good sign for how the customer is reacting. And again, I want to compliment the 18,000 employees that we have around the world, and three-quarters of those are people selling in stores and are really are making this happen for us. And you know we've always been super proud of them. And so the conversion rates are climbing in the stores, and that's being impact – and also our AUR is climbing in the stores, and that's being negatively impacted by traffic. And that's really North America and, to a slightly lesser degree, Europe issue. We did not see a sequential change in traffic. We didn't see it going up, and we didn't see it going down. It's kind of flattish. It is declining. And it's at a more rapid rate in the full-price part of the business versus the outlet. The outlet is quite small in terms of the traffic decline. But that being said, Dana, we see a lot of that shifting to e-commerce. And we have now data where we're tracking the customer. We see where she has maybe left the store where she was shopping with, and she's just come online with us. So while we don't find that to be particularly the only answer to traffic decline, we do know that there is not a question that when your database is growing 23%, you're still acquiring more potential customers. It's just where they want to shop and how they want to shop. So I think that we again are working very, very hard. We would like to see traffic increases inside of our own retail stores, in particular in North America. We can't sit here and definitively tell you when we think that will happen. Again, we've gone through a – what will be a 12-month period of significant reduction in promotional activity. We know that's impacted the amount of people coming into the store, because we've had less sales. And I think we'll see improved traffic trends again beginning in next fiscal year. And that's our thoughts around how we're going to plan the business next year. Although we will not plan traffic up, we will just plan the decline to be much lower than it is today. And I'll actually turn over to Tom the Jimmy Choo question.
Thomas J. Edwards, Jr. - Michael Kors Holdings Ltd.: Sure, Dana. For the year, we had previously guided to Jimmy Choo dilutive $0.08, and currently see it being even for the year. And the change, it's really three things driving that, and that is both encompassing the Jimmy Choo business and the interest cost related to it. First thing was sales were better in Q3 for Jimmy Choo than our expectations, so we're pleased with that. It flows through to the bottom line. Second item is an FX gain related to their business that we saw in the quarter. And the third item is lower interest costs. As we have rapidly paid down debt, paying down $450 million of our $1 billion term loan in the first two months of having it outstanding. So those are the drivers, and that's partially offset as we noted by some additional investment in Jimmy Choo for growth in the fourth quarter.
John D. Idol - Michael Kors Holdings Ltd.: And let me just take that last piece of the growth. We have great plans and great expectations that I said to you, we're going to really lay out in more detail in our next call, and we're off to a terrific start. The integration went very, very smoothly between our two organizations. The company is led by two very talented executives in terms of Pierre Denis, the CEO; and Sandra Choi, the Head of Design. And we've been working very, very closely together on the initiatives being, one, expanding our store footprint. And again, that was already in Jimmy Choo's current plans. We're just accelerating that a little faster, given our balance sheet structure. Secondly, we intend on having a very expansive women's accessories business, which we think we can add some value in terms of our knowledge and development of that category. And certainly Jimmy Choo has – it already has an accessories business, but we know that we can expand that, and it certainly has a right to be in that business in the luxury category. And our partners around the world, our wholesale partners, are very excited. Our own stores are very excited. So we're going to be able to move that needle pretty quickly. And then we have a men's business that's, as I commented in the prepared remarks, whether it's our trainer/sneaker business, our bag business is very, very strong there in particular in Asia. So we're really pleased with what's happening at Jimmy Choo and what the future holds for us there as well. So thank you, Dana.
Dana Lauren Telsey - Telsey Advisory Group LLC: Thank you.
Operator: Our next question comes from Lindsay Drucker-Mann with Goldman Sachs.
Lindsay Drucker-Mann - Goldman Sachs & Co. LLC: Thanks. Good morning, everyone. John, I wanted to go back to a comment you mentioned about striving for positive comp sales next year, and also that in the fourth quarter of this year will be kind of the last time that you're anniversarying the lapsing of the big promotional depths (55:36). So should we be thinking about a return to comps in the spring of 2018 or first quarter of 2019? Or is this something that you envision a more protracted acceleration?
John D. Idol - Michael Kors Holdings Ltd.: Yeah, Lindsay, we're going to discuss this more in our June guidance. But as Tom presented in our Investor Day, we were looking for flat comps for next year. And I'd say that is going to still be the kind of the floor for us. I think, we would certainly feel better if we were in the low single-digits. So it's going to be somewhere in that range is what our targets and thoughts are. And I would say that you'd really start to begin to see that, again, for our, what we're going to call the fall season, which would really be the back half of calendar next year. So call it more Q2 for us on a financial basis. That's where we should begin to see this business really return to a more steady trajectory. And we look at that across the world. We look at that both in North America, Europe. And of course in Asia, we're already on a positive comp trajectory as well. So we feel good about that, and we feel that we've got the product in place, and we feel that we've got a store renovation plan in place that's going to be very helpful, and we've got a marketing and communications team that's already been world-class, and we think that through many of the CRM initiatives that we're beginning to put in place, that we will also be able to drive increased engagement and drive traffic into our stores.
Lindsay Drucker-Mann - Goldman Sachs & Co. LLC: Great. And as a follow-up, you talked about AURs up in the Americas for the digital flagship and for your lifestyle stores. Can you comment on what you're seeing in your factory stores in terms of AUR? Thank you for the details on traffic, but maybe even just generally what the tone of business is in that channel? Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Yeah, I think, we commented to this the last time too. The outlet channel is always promotional, and so it's not whether there's more or less activity in there. It's always an activity. And the channel for us has performed quite nicely, quite frankly. And again, we don't break it out by category. But we see – that has been a very steady, stable channel for us with positive results pretty much every quarter, so and we see that continuing on. Again, we don't want to make that a focus of our company. We want to really focus on our full-price, on our wholesale distribution, because again that is full-price for us, and we think that's the best way to represent to our customer the image and the talent of Michael Kors himself, our design teams, and how the brand is really articulated. Thanks, Lindsay.
Lindsay Drucker-Mann - Goldman Sachs & Co. LLC: Great. Thanks so much.
Operator: Our next question comes from Kimberly Greenberger with Morgan Stanley.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you. And thanks again, John, for all the color and detail this morning. It's been really helpful. I'm wondering if you can talk a little bit about the handbag and small leather goods performance. It sounds like, broadly speaking, you're seeing stronger geographical performance in Asia. And then more broadly, it seems perhaps like maybe you're seeing better performance within your own stores than perhaps in the wholesale channel, but I'm not sure if that's a correct assumption. So I'm wondering if you could just talk about the overall performance and where you're seeing variation in that category.
John D. Idol - Michael Kors Holdings Ltd.: Sure. Thank you, and good morning, Kimberly. Kimberly, again, one of the things you have to remember in our own comp store decline, and we've said this in the past, that somewhere between 40% and 50% of our comp store decline has really been generated by watches. It's a huge – was – still is a huge business for us, but it was – it really has impacted our business dramatically. And while there was sequential improvement in the last quarter, both in our wholesale partners around the globe and our own stores, it's still not enough to offset the decline that's happening there. So that's been an issue for us. In terms of the accessories, the accessories performance, both in our own stores and in the wholesale distribution performed better than we had anticipated. So still negative, but that was a very, very good sign for us. We had planned it down. We did better than what we had planned as in both our own stores and in our retail – in our wholesale partners. And I just wanted to make the commentary about our wholesale partners having weeks that we are comping up because it's exciting to see that that channel is also seeing improvement in particularly this category with Michael Kors inside the stores. So that bodes well, we think, for the future.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Awesome. And just one quick follow-up. When you talk about the refurbishment of the stores, and obviously we'll get more detail on that here in coming quarters. Is the philosophy and thinking behind that that you want to update and modernize the look and feel of the stores? Or is it, is the driving force here that you think you could do a better job of presenting a more diversified category or assortment in the stores that you could have more impact with maybe driving traffic? I'm not sure. Anything you can share on that? I know the full details aren't available, but it sounds very intriguing. Thanks.
John D. Idol - Michael Kors Holdings Ltd.: Yeah. And really you've articulated it perfectly. First off, we've had our store concept since 2003, and we do think it's – in the fashion business, you typically over a 10-plus year cycle, you change your store concept and you change your advertising campaigns and you do that. So when you look at both our domestic competitors and our international competitors, that's a fairly normal thing to do in the fashion business. And plus, the stores are getting older and they need to be renovated. So we've come up with a new concept that we launched in the UK on Regent Street. We thought it was spectacular. And now we've begun to roll it out, and we have a plan to do about 100 of these over the next two years. And we're going to watch that very carefully to see, not just the return on the investment that we're making, but more importantly we are emphasizing the women's ready-to-wear and the footwear category in these stores, as we refer now to footwear areas in our stores as shoe salons. And we're dedicating a significant amount of space to this. And we're seeing customers are coming in more often. The typical, the average customer for a handbag is about 1.25 years, I believe it is, they repurchase a handbag. Whereas a shoe, it's a much shorter life cycle. They're typically purchasing 1.5 to 2 pairs of shoes per year. So we can get more frequent visits from that customer. And a ready-to-wear is even more frequent. And so we're taking that. We're taking Michael's leadership, I mean, he started in the women's ready-to-wear business, and taking that leadership and authority and building that all-around Kors Style. And we want to give the store that feeling, so the sales associate can handle it physically for the consumer and also digitally. And this Kors Connect that we're putting in, some of the early reads on the amount of additional business the sales associates are able to conduct is really terrific. And they're excited because they're able to build a deeper loyalty and engagement with that customer by having kind of the whole line at their fingertips. So that's what we're ultimately trying to do is to make these stores feel like Kors Style and give the sales associates the ability to create that exciting moment with their customer inside that building. Thank you, Kimberly.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Thanks, John.
Operator: Our next question comes from Oliver Chen with Cowen & Company.
Oliver Chen - Cowen & Co. LLC: Hi. Thank you. Good morning, John. Our question relates to digital. What should we focus on? And what are your thoughts for your digital efforts across your platform and how the margin mix may evolve over time, and potential alliances with Amazon and others in managing your brand? Just curious about what the focus should be, as we look at luxury companies across the sector really reinvigorate and conduct M&A in this space as well? Thank you.
John D. Idol - Michael Kors Holdings Ltd.: Thank you, Oliver. Oliver, I think we, about two years ago, started using this terminology digital flagship. And I remember everyone asking me, what does that mean? Why do you keep calling it that? We believe that we are leading our brand-building and, in many cases, brand connection efforts digital first. The consumer today, we believe, is making somewhere between 70% and 80% of their purchase decision online first, and then in-store. We still are doing the greater majority of our business in-store, and we believe in brick and mortar, and we believe in building stores. We are adding stores in Asia and in certain other parts of the world. And so, that's not going to go away. But clearly, customer is getting their information, building their shopping experience, in many, and if not most cases, online. So we want to be there for her and him to really work through that whole shopping experience. And by the way, I want to add that Jimmy Choo is doing a spectacular job with this as well. So it's not just Michael Kors. It's Jimmy Choo and Michael Kors. Secondly, at both Jimmy Choo and Michael Kors, we believe that building our database and then having best-in-class CRM analytics, and then tactics to engage the customer are going to be the key to our future comp store growth. So whether she actually buys it online or whether she buys it in-store, we want to be able to communicate with her on the journey and how we can help her. And we look at many, not only our luxury goods competitors, but there are pure play companies who are in the luxury fashion business who we think are excellent models and we can learn a lot from. In terms of the margin mix, it's getting better. Where initially it was dilutive and it still is dilutive when we move something to e-commerce versus our stores, that is not even yet, but it's starting to get closer. And we're making progress, and over time, our goal is to get from a margin mix standpoint, the e-commerce business equal to what we're doing in our bricks and mortar. And quite frankly, they're – at Jimmy Choo, they're pretty close to that today. So we're learning from them on that area. So we see this as being a critical part of our journey with our customer, and we're going to continue to spend time, energy, effort, money, resources, human, financial, all the above to become one of the leaders in this, and combine that with our existing marketing excellence and turn that into our online excellence as well.
Oliver Chen - Cowen & Co. LLC: John, and just a quick follow-up – yeah, on – well, the Amazon question and then, are there going be fewer promotional days for the next few quarters? If you're able to brief us on anything we should be thinking there? That'd be helpful. Thanks for taking my questions.
John D. Idol - Michael Kors Holdings Ltd.: In Q4, as I said, that'll be the last quarter that we're really lapsing the – and it's really more about the cleanup on the markdown side. Come Q1 for us, our fiscal Q1, we should be apples-to-apples at that point both in our retail stores and our wholesale distribution with the exclusion of Europe. Europe is a little bit different, and as I said earlier, that's going to take us a little longer in particular on the wholesale side. That will take us most of the year to get reset, and then we see growth in Europe in wholesale kind of returning more in our fiscal 2020 on that standpoint. So thank you, Oliver.
John D. Idol - Michael Kors Holdings Ltd.: And thank you again for joining us this morning. We're excited about the opportunities ahead for our global luxury group, and we look forward to updating you on the company's future plans on our next call. So thank you very much.
Operator: That concludes today's conference. Thank you for your participation. You may now disconnect.